Operator: Good afternoon, ladies and gentlemen, and welcome to the Morguard Real Estate Investment Trust Conference Call. [Operator Instructions] This call is being recorded on Thursday, October 30, 2025. I would now like to turn the conference over to Andrew Tamlin. Please go ahead.
Andrew Tamlin: Thank you, and good afternoon, everyone. My name is Andrew Tamlin, Chief Financial Officer of Morguard REIT. Welcome to the Morguard REIT's Third Quarter 2025 Earnings Conference Call. I am joined this afternoon by John Ginis, Vice President of Retail Asset Management; Tom Johnston, Senior VP of Western Office Asset Management; and Todd Febbo, Vice President of Office Asset Management in Eastern Canada. Thank you all for taking the time to join the call. Before we jump into the call, I would like to point out that our comments will mostly refer to the third quarter 2025 MD&A and financial statements, which have been posted to our website. I refer you specifically to the cautionary language at the front of the MD&A, which would also apply to any comments that we would make on this call. With one exception, our third quarter results were very consistent with the same trends that we saw in the first half of the year and were also very consistent with expectations for the quarter. The one exception to this was a large onetime net property tax refund received for one of the Trust's enclosed shopping malls in the amount of $3.2 million, which I will touch on in a minute. We have known for some time that 2025 was going to be a tough year due to the market rent resets at Penn West Plaza in Calgary, the impact of which has continued throughout the year and into this quarter. Further to that, we had some pockets of softness in the enclosed mall segment from some tenant failures in the first quarter, but we were also seeing some strong same-asset results from our strip segment, which are largely grocery-anchored. A further decline in interest expense from lower variable interest rates has also impacted the results. Our total net operating income for the third quarter declined from $32.2 million in 2024 to $31.3 million in 2025. This includes a $4.3 million decrease due to the Penn West Plaza lease reset, partially offset by the $3.2 million property tax refund previously mentioned. This tax refund related to 2021 to 2024 and relates to both vacant space and space vacated by bankrupt tenants. Our same-asset net operating income was flat for the third quarter, excluding the impact of these 2 items. The decline in income from Penn West Plaza is due to the expiration of the Obsidian head lease on February 1, 2025. This has resulted in a reset of rents for both Penn West Plaza tenants and subtenants to current market rates. Effectively, this building has transitioned from a single tenant building to a multi-tenant building. We are pleased with this transition, which has resulted in an occupancy of Penn West Plaza now at 81% a few months after this transition. Significant inducements of opening free rent and free operating costs to secure tenancies are also impacting the Penn West Plaza results for 2025 and in particular, the first 3 quarters of the year. Our estimate is that there will be a downturn of approximately $15 million in net operating income for this asset in 2025 with some bounce back to this number in 2026 after these inducements burn off and other lease inducements -- and other lease commitments kick in. As I mentioned, we are pleased with the 81% occupancy level of this building after coming off many years where the office market in Calgary has struggled. On Friday, March 7, 2025, the day filed for creditor protection under the Company's Creditors Arrangement Act, or CCAA. The Trust had 2 Bay locations comprising a total of 290,000 square feet of GLA, one at Cambridge Center in Cambridge and one at St. Laurent in Ottawa. The Trust's annualized gross rent earned from the Bay leases was approximately $1.5 million. In the second quarter, the Trust lease with the Bay at Cambridge was disclaimed. The remaining lease at St. Laurent was subject to a bid by Ruby Liu Commercial Investment Corporation. Rents on the St. Laurent lease is being paid while this process was ongoing. On Friday, October 24, the Ontario Superior Court rejected a proposal by Ruby Liu for the creation of a new Canadian department store chain. Subsequently, the St. Laurent lease disclaimer notice has now been received and is effective on November 27, 2025. Management is now looking at future opportunities for this location. Notwithstanding the temporary softness in the enclosed mall segment from the first part of the year, there are still lots of positives in this sector. We are seeing positive rental growth on lease renewals, and there remains lots of good conversations involving well-known national brands. It still remains quite expensive to construct new retail space, and hence, a lot of retailers are looking at existing space rather than building new space. With the exception of one location, our community strip centers are essentially full at 99%. Sales and traffic numbers at our enclosed malls also continue to be strong. The Trust's interest expense declined $1 million for the quarter due primarily to a decline in short-term variable interest rates on a year-over-year basis. Total interest expense is down over $3 million for the 9-month period. Turning to financing and liquidity. The Trust has $76 million in liquidity at the end of the quarter, which is up from $72 million at the end of the second quarter, but down slightly from $81 million at the end of 2024. As mentioned in previous quarters, the Trust's operating capital reserve increased from $25 million annually to $35 million in 2025 to account for both higher repair costs as well as leasing costs. This represents $8.750 million per quarter. Actual spending was approximately $10 million, which represented mainly repair and capital projects. Total spending for the 9 months approximates a $26.3 million reserve. So far this year, the Trust has renewed or extended 7 mortgages totaling $165 million, lowering the interest rate from an average of 5.4% on these mortgages to an average of 4.95% on renewal. The Trust has approximately 18% of its debt is variable at the end of the quarter, which has increased slightly from 15% at the end of the year. The Trust continues to focus on paying down its debt, which has declined by more than $100 million over the last 4 years. Looking at our accounting for real estate properties during the quarter, we had $10 million in fair value losses due primarily due to some minor changes across the assets in our office asset class. Our overall occupancy level of 86.6% at September 30, 2025, has increased from 85.9% at June 30, 2025. However, it has decreased from 91.2% at the end of '24 due to the increased vacancy at Penn West Plaza from the expiration of the Obsidian head lease in addition to the disclaimed Bay lease at Cambridge in June. The 70 basis point increase in the occupancy for the quarter was due to the increased leasing in our malls and our office assets. Our leasing teams have noticed increased -- increasing interest and tours for office space in major urban areas as companies continue to push their employees to get back in the office. We are cautiously optimistic that this will translate into future office leasing deals. As I previously mentioned, we are now embarking on a strategic merchandising program for St. Laurent, which will see the addition of some new nationally recognized brand names being added to the tenant roster, along with expansion plans for other tenants on the existing rent roll. The current budgeted capital commitment is $6.4 million and includes tenants such as Sephora and H&M. These are all now open, and we have received very positive reviews about their impact. We are currently working on some future phasing beyond this spend and as we look to ensure a stable, sustainable and traffic-generating mix of tenants to this asset. Discussions have previously stalled with the provincial government tenant at Petroleum Plaza in Edmonton, which came up for renewal on December 31, 2020, and is still in overhaul. At this point, there is still nothing to report in regards to these discussions or when the space will officially be renewed. Wrapping up, we recognize that 2025 will be a tough year, but we are expecting the downturn to be limited. We are especially pleased with the leasing efforts at Penn West Plaza to be able to have our most impactful office asset with an occupancy of 81% in this tough marketplace. Also, we continue to believe that there are strong fundamentals in the retail leasing environment. We are looking forward to continued positive leasing conversations for all of our assets. Most of our enclosed malls remain dominant in their geographical area and our strip malls, which are largely grocery-anchored, have performed steady. Beyond our retail assets, we have high-quality office buildings in Canada's largest markets with a high degree of government office tenants. We continue to be positive about our business and the objective of building value for our unitholders. We look forward to continuing to execute our strategy, and thank you for your continued support. We will now open the floor to questions.
Operator: [Operator Instructions] The first question comes from Jonathan Kelcher at TD Cowen.
Jonathan Kelcher: First question, just on the quarter, other than the rebate you got, was there any other onetime items in Q3, any lease termination income?
Andrew Tamlin: No, it's all pretty steady and very predictable. So no other onetime items, Jonathan.
Jonathan Kelcher: Okay. Secondly, on the 2 Bay locations, and I recognize it's early, but how has interest been in those? Have you guys had many inbounds on potential leasing there?
Andrew Tamlin: Yes, I'll turn that over to John.
John Ginis: Jonathan, John Ginis here. So as Andrew noted, the Cambridge location was displayed earlier this year in June, and we just got notification that we're going to get back to St. Laurent location in November. So with respect to Cambridge, we are exploring alternatives, both temporary and permanent options. So there has been interest, but obviously nothing to report as of yet. With respect to St. Laurent, we've had queries, but we really haven't advanced anything because we didn't know how this bid process [indiscernible] was going to transpire. So now that we know we're getting it back, we're going to accelerate efforts to reach out to tenants to see what potentially we can do with the space.
Jonathan Kelcher: Okay. And you're doing remerchandising at that mall anyways, right? Like would that -- does that -- how does getting the Bay back fit into that, if you can talk about that?
John Ginis: So we initiated a program a few years ago to kind of look at the entire rent roll of St. Laurent and kind of reenvision it in terms of more contemporary retailers that are traffic generated. So you're correct. And Andrew spoke about that in his opening remarks in terms of what we're trying to do, and we've had a lot of tangible success with respect to some recent openings that we mentioned as well. That program will continue. The Bay location here was always subject to Ruby Liu. It hasn't really come up in terms of inhibiting our leasing efforts. So we'll have hopefully more to announce in the coming quarters in terms of additional [ discriminatory ] retailers trying to introduce the rent roll irrespective of our anchored position. So -- but it hasn't hurt us in so far as retailers pulling back and not wanting to express an interest in terms of [indiscernible].
Andrew Tamlin: I would just add, we expect this to help St. Laurent, Jonathan. I mean, I think we all know that the -- sorry, can you hear me?
Jonathan Kelcher: Yes. Yes.
Andrew Tamlin: Okay. Yes. I think we would expect this news to help the mall. The key tenants that are focus these days are really not the Bay and tenants like that like it would have been 20 years ago. So we are looking to kind of reinvigorate the mall and having the Bay backs, back will certainly help with that.
Jonathan Kelcher: Okay. And then lastly for me, you guys have about $100 million of maturities remaining this year. Can you remind us just on like what asset class those -- the majority of the properties in and how much you expect to get on up financing?
Andrew Tamlin: I would expect that to be mostly flat, Jonathan. Maybe a bit of financing, but not anything -- I mean, I think for your purpose, it's probably the best to assume that it will be flat. And in rough terms, I think it's kind of 50-50 between retail and office.
Jonathan Kelcher: Okay. And just -- do you expect sort of flat on both or maybe pay down the office a little bit and get a little extra from the retail? Or is it just kind of flat?
Andrew Tamlin: I think it's both are going to be flat, yes.
Operator: [Operator Instructions] There appear to be no further questions. I'll turn the call back over to Andrew Tamlin.
Andrew Tamlin: Okay. Thank you, and thank you, everybody, for participating in the call and look forward to talking to everybody next quarter. Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.